Operator: Good morning. My name is Bridgette and I will be your conference operator today. At this time, I would like to welcome everyone to the Hudson Global Quarter Three 2012 Earnings Conference Call. [Operator Instructions] Mr. Kirby, you may begin your conference. 
David Kirby: Thank you, Bridgette, and good morning, everyone. Welcome to the Hudson Global conference call for the third quarter of 2012. Our call this morning will be led by Chairman and Chief Executive Officer, Manolo Marquez; and Executive Vice President and Chief Financial Officer, Mary Jane Raymond.
 At this time, I will read the Safe Harbor statement. Please be advised that except for historical information, the statements made during the presentation constitute forward-looking statements under applicable securities laws. Such forward-looking statements involve certain risks and uncertainties, including statements regarding the company's strategic direction, prospects and future results. Certain factors, including factors outside of our control, may cause actual results to differ materially from those contained in the forward-looking statements, including economic and other conditions in the markets in which we operate, risks associated with competition, seasonality and the other risks discussed in our filings made with the SEC.
 These forward-looking statements speak only as of today. The company assumes no obligation, and expressly disclaims any obligation, to review or confirm analysts' expectations or estimates or to update any forward-looking statements, whether as the result of new information, future events or otherwise.
 During the course of this conference call, references will be made to non-GAAP terms such as EBITDA. An EBITDA reconciliation is included in our earnings release and quarterly slides, both posted on our website at hudson.com. I encourage you to access these documents at this time. They are posted on our website under Featured Documents and our speakers will reference them throughout their remarks.
 With that I will turn the call over to Manolo Marquez. 
Manuel Marquez: Thank you, David, and good morning, everyone. We are conducting this call from New York where the situation which is still very difficult for many and we would like to say a special thank you to all of those joining us from the tri-state area.
 Earlier today, we released results for the third quarter of 2012, and as you are well aware, during the quarter, the business environment deteriorated further due to ongoing and persistent global economic uncertainties.
 Challenged by these conditions, many of our clients applied growth cost controls. In the area that affect our business more closely, clients have frozen or minimized hiring, delayed project starts and in some cases, shifted to internally stop recruitment. To balance these trends, our dedicated teams worked hard to demonstrate a deep understanding of our client and candidate needs as well as an increasing excellence in our service delivery capabilities. In addition, the streamlining actions that we have taken since the beginning of the year have helped adapt operations to better cope with the current conditions. 
 Our financial performance in the third quarter was consistent with the cautious outlook we communicated after the second quarter. Our third quarter revenue was $188 million, down sequentially from the second quarter by 8% on a reported basis and 9% in constant currency. The year-over-year decline in Q3 was 23% in reported currency, 21% in constant currency. Gross margin was down 25% in constant currency as compared to the same quarter last year.
 Our actions taken to offset these conditions resulted in 22% lower SG&A than prior year. Our debt-to-EBITDA was $1.5 million, which was within our expectations of $0 million to $2 million. Our restructuring actions in Q3 included $1.5 million in severance and real estate costs.
 Our EBITDA was $700,000, including $0.5 million in a business tax refund. We experienced a net loss of $2.2 million. Mary Jane will provide more detail on our third quarter performance shortly.
 In this challenging environment, we have not yet been able to deliver the bottom line results we want. However, I am pleased with the progress we are making on our strategy, positioning ourselves as a world-class global provider of talent solutions.
 First, we are creating an organization with increasingly deep client relationships. Second, we are building a powerful global platform. And third, we are rightsizing our operating structure to position us for growth and solid profitability when conditions improve.
 Let me briefly share with you some examples of our progress in these 3 areas. In the first area, I mentioned that our teams have continued to develop their client relationships, winning major talent solutions projects across the world. I would like to give you some client examples here from Belgium, the Netherlands, U.K. and China.
 In Belgium, we have won a major 4-year talent management contract with the European Aviation Safety Agency, EASA, of the European Union. The agency, as you know, is responsible for ensuring the highest standard of safety in aviation in Europe. The EASA contracted with Hudson's experienced talent management team to design and implement 50 assessment centers and 40 development centers per year. We will help them identify high potential candidates and develop critical leadership skills in order to maintain the EASA at the center of excellence in aviation safety.
 In the Netherlands, we are advancing our added value strategy by evolving from providing contract engineering staff to delivering engineering project solutions. We have been subcontracted by 1 of the world's top 10 engineering consulting firms, ARCADIS, to provide tender support on project management controls for a major road development project.
 In the U.K., we won and commenced a major project assisting a large financial services company to spin off a portion of its retail banking unit. During the next 12 months, Hudson will be responsible for managing the recruitment of more than 1,000 professionals in core corporate functions, including HR, finance and marketing for the new entity. We will provide services, including direct recommended selection, coordination of assessment centers and on-boarding processes, as well as management of third-party agencies to ensure a rapid and successful staffing of this spinoff.
 In China, our pharmaceutical business has started to reach critical mass on the basis of our functional expertise on growing track record within this key industry. We are assisting 1 major global pharmaceutical client in the relocation of its regional commercial and business development team from Singapore to Shanghai where the company is establishing a greenfield site. And we have also secured a preferred relationship with another leading global pharmaceutical firm to help the company build its R&D capabilities in China, one of the most challenging functions to recruit in the region.
 In the second area of progress, I mentioned before that we have continued to enhance our global business platform to better position Hudson for growth when conditions return to normal. Let me share with you here our most recent development in RPO, Legal eDiscovery and Talent Management.
 RPO continues to make progress on a global scale, even though the decline in global hiring intentions has softened the pace of hiring. We expanded our RPO client base by 7%. Gross margin grew by 8% in the third quarter to prior year and 3% sequentially.
 We had standout performances from Europe and Asia where growth margin grew by 88% and 33%, respectively, on the strength of 6 new client wins across a variety of sectors. Hudson has also been honored for the third consecutive year with an improved ranking in the renowned baker's dozen list of leading global RPO providers published by HRO Today.
 On the Legal eDiscovery front, our business partnership with Recommind has begun to bear fruit. In Q3, working with Recommind, we entered into an agreement to become a preferred provider of managed review services to 1 of the world's leading technology companies. We also now have several mutual clients and furthermore, recent cost decisions have approved or required use of predictive coding, which we expect will give our partnership added momentum. Our first mover advantage in this critical evolution of the use of technology-assisted review has also been validated by our competitors who, since then, have begun to augment their own software offerings. 
 Finally, our Talent Management business increased gross margin this quarter by 4% globally in constant currency, with particularly strong growth of 31% in Asia Pacific. Our proprietary tools are significant assets. We have continued to leverage with clients around the globe. The Talent Management business is acting as an enabler to improve our positioning by adding value in both our recruiting and RPO businesses.
 Finally, in the third area of progress, we are laying the foundation to deliver profitably on our stated long-term earnings trajectory. A streamlined organization, both at the front and back office level, provide us with a leaner cost platform and more significant earnings opportunity when conditions improve. At the front office, we are using our experience from the RPO model to begin implementing pilots of more efficient delivery models in the U.K., Australia/New Zealand and the United States to serve our large volume accounts.
 And the overall actions we took to rightsize our business contributed to notable SG&A reductions. Since Q4 2011, we have lowered SG&A by 16%, or $12 million against a gross margin decline of 20%. Compensation costs are down 17% in that time frame. In comparison to the third quarter of 2011, we were able to offset 3 quarters of the 25% decline in gross margin.
 2012 is proving to be a difficult year for our industry but the examples of our successes I have outlined today show that we are making progress in our strategy. We would like to have seen this progress reflected meaningfully in our financial performance but under the current circumstances, what we have done is use the market headwinds as a catalyst for accelerating our transformation, while remaining focused on the existing markets opportunities.
 During the third quarter, I visited our offices in 12 countries throughout the Americas, Asia Pacific and Europe. I spent time discussing business opportunities directly with our clients and with our people. Our clients speak highly of our organization, about the service we provide and about the teams that work with them. And our people are enthusiastically committed to our newer strategy. We are convinced that Hudson is on the right path, prepared to win in this difficult economic and business climate and ready to capture growth opportunities that will unleash our full potential when the economy recovers.
 As I discussed with you last quarter, in this environment, our goals are to stay focused on execution, deliver on our commitments and continue to implement our strategic vision. And as we reiterate our dedication to progress in our journey, I would like to recognize once more, and express my appreciation for the confidence that our investors, employees, clients and candidates place in us.
 I will now turn the presentation over to Mary Jane who will provide further details on our third quarter results. 
Mary Raymond: Thanks, Manolo, and thank you, all, for joining us this morning. We've posted some slides showing our results on the Hudson website, which you can reference during the call. Manolo discussed the persistent market conditions which are affecting our clients' businesses as well as ours. The Americas revenue was down 18% from prior year with gross margin down 30%. About 1/4 of that gross margin decline is from our exit of unprofitable businesses, businesses that were more perm-concentrated. In doing so, we were able to eliminate nearly $2 million of support costs. This also allows us to focus our time on business lines that have greater growth potential. The remainder of the decline is attributable to slower legal projects, though by the end of the quarter, we began to see a steadier flow of work in our Legal eDiscovery projects, particularly larger ones.
 The Americas' adjusted EBITDA of just under $800,000 was something of a disappointment but we expect the return on revenue for the year to still be near the level of last year's return on revenue. 
 Europe performed as expected. Revenue declined 18% in constant currency and gross margin declined 21%. Much of that revenue decline came from the U.K. although the continued European economic uncertainties took more of a toll on our Continental European revenue this quarter than they did last quarter.
 Our professional contracting businesses in Belgium and the Netherlands, for example, provided a good counterbalance though, to the market declines in general. Europe's adjusted EBITDA was $600,000, with the UK's profitability relatively steady from the previous quarter due to effective cost management. About $1 million of our restructuring charge this quarter was in Europe. 
 While cost actions are harder to take in Europe, our teams have worked very well together to simplify our support structure, as well as our delivery models to allow us to reduce cost and provide our teams with more client-facing time.
 In Asia Pacific, revenue declined 25% in constant currency and roughly the same as the gross margin level at 26%. Although China was more resilient than the region overall, our Shanghai and Beijing offices made good contributions with the small declines we see in China coming from lesser hiring in the IT vendor space that tends to be more dependent on capital expenditures.
 Clients in Australia remained very cautious on hiring and new initiatives, but interestingly enough, we're seeing some very good growth in the assessment services from our Talent Management business, not just growth in the outplacement service. This seems to indicate that clients are eyeing the future and preparing to tackle new growth opportunities as they materialize.
 Asia Pac's adjusted EBITDA was $4.7 million or 6.4% of revenue with very good cash performance this quarter.
 Regarding our restructuring plan, we continue to make progress on our actions to optimize our sales and delivery models and to move towards shared services. We eliminated 30 positions in the third quarter, 210 in total for this year, fairly equally divided between the front and back office. Our work on our sales and delivery models will be a major focus over the next 6 months as we continue to align our front office resources with our clients' economics. Our charge is $7.6 million year-to-date. We expect -- we had expected to realize 50% of the charge value on an estimated $8 million or about $4 million in savings this year. However, because most of the actions were taken in the second quarter, we will more likely realize something close to 75% of the savings this year. On a fully annualized basis, we still expect the savings to be 2x the level of the charge.
 Finally, let me give you, on the quarter, a few financial points. Our stock comp was $500,000 compared to $1 million last year. We are accruing our performance grants at a lower level, accounting for the difference. Our total 2012 stock comp expense is expected to be about $3 million.
 Our tax rate, as a percentage of pretax income, isn't meaningful this quarter. For the year, similar to the discussion we had last quarter, we expect to record an overall tax benefit of $2 million to $3 million, barring any unusual items.
 Our DSO is 49 days, improving by 1 day from last quarter and 4 days from Q1 of this year. Capital spending was $900,000 in the quarter. I expect the fourth quarter to be in the same range or less. Year-to-date, we have incurred $7.8 million of CapEx, which includes $3.8 million in cash and $4 million from landlord-funded improvements for the move we made to a more affordable property in Sydney, Australia.
 We ended the quarter with $35 million in cash, $50 million in available borrowings, for a total liquidity of $85 million. We generated $7.9 million in operating cash flow during the quarter with no borrowings on our revolvers worldwide. Year-to-date, our normalized cash flow from operations is $5 million.
 For our guidance, let's start with the fourth quarter. For the fourth quarter, we expect to see ongoing reduced levels of demand. We expect revenue declines consistent with the third quarter or specifically, a decline between 21% and 24% at prevailing exchange rates. We expect adjusted EBITDA will range from $0 million to $3.5 million with a charge of less than $1 million. On an annual basis, revenue is now likely to be closer to a decline of 17% to 19% for the year overall, compared with our previous expectation of 15%.
 We, as a management team and all of our colleagues, have agreed to work very hard to reach breakeven EBITDA for this year but that will be a challenge and it may be somewhat less. Nonetheless, it remains our goal. And in addition to that, we expect positive cash flow from operations after funding the restructuring charge for the year.
 This isn't the year we expected but we are using it to our advantage all the same. As our clients face more challenges, it does give us a chance to up our game. This will improve our market position and our profitability on a go-forward basis. With that, Manolo and I would be very happy to take your questions. 
Operator: [Operator Instructions] And your first question comes from the line of Jeff Silber, Capital Markets. 
Jeffrey Silber: Manolo, in your prepared remarks, you mentioned something briefly that you're seeing some of your clients shift to internal-based recruitment. I'm wondering if you can comment a little bit more about them. Are they using products such as LinkedIn internally a little bit more? Is that where you think the shift is coming? 
Manuel Marquez: Yes, absolutely. That's exactly -- you read that remark very well. That's exactly what we already kind of thought was going to happen a year ago. If you remember, when I started in Hudson and developed the strategy of -- the new strategy for the company, 1 of the 5 key strategic initiatives was digital presence. We know that social networks  was going to make a major impact in recruiting on the areas that are more commoditized on the market and that trend has accelerated in the past few months. So moving up the value chain, making sure that we concentrate ourselves in the critical jobs where industry and sector experience is more important, embedding talent management tools so that we can offer an added value from what is nearly a brokerage function, which is what social network provides, it's absolutely essential. 
Jeffrey Silber: Let me just follow-up on that. Are you seeing -- you mentioned the trend accelerating. Are you seeing that across the board in your geographies and the different verticals or is it just focused in a few specific areas? 
Manuel Marquez: No, it's happening everywhere and when I talked with executive search companies, the one I talked, they are seeing that too. This trend is going to be here to stay. So it's pushing, it is making a big change in the value chain of the industry. So I think -- there's bad news and good news. I mean, the bad news is that when you were enjoying more of a brokerage business, which was easier to perform, that business over time, is going to be gone. You might be protecting yourself in some areas, mainly where you're working with the small or medium enterprises, but that is bound to be gone. And if you want to be there, you have to dramatically change your delivery models, adjusting your cost structure, which is also what we are doing using our RPO model. The good news is that this offers a great opportunity to win market share for those companies that have the tools to perform higher up to value chain and -- I mean, I'll give you a specific example. In one of the visits I referred to that I made, in this case, to China, meeting with a very large industrial company there, they said that they  now doing 70% of the recruitment with internal staff using social networks, 70%. And what they said is -- but on the 30% that we are going to work with external providers, Hudson is going to have major market share because you are much more equipped to understand our needs and to bring the added value that we expect. In fact, our business with that particular account has increased rather than decrease with this move. 
Jeffrey Silber: Great. That's very helpful. And Mary Jane just a couple of numbers-related questions for you. In terms of your 4Q guidance, is it possible to give us revenue and EBITDA trends by specific geographic region? That would be great. 
Mary Raymond: Sure. Well, just to remind you, we don't give regional guidance, but just to tell you roughly, trend-wise. In North America, as we said, they had a bit of a weak quarter. We expect them to pick up a little bit, I wouldn't describe it as material, but at least a little up on Q3. New York is obviously a pretty major office for us. We weren't completely unmindful of the hurricane but the exact impact of that is probably not really included here. But nonetheless, I do think that the U.S. will have a stronger quarter in the fourth quarter. With respect to Europe, a little bit of a mixed bag. I think they will at least be flat to the third quarter, if not, up a bit. As you know, just seasonally, they tend to have a less strong third quarter but Christmas also starts to intervene. With respect to the Asia Pac market. The Asia Pac market does tend to have a slower Q4 than in Q3. So I think if you think about trends in general, my sense is on actual percentage decline. If we do that. I think the U.S. and Europe will be a little bit less weak than they were in Q3, with Asia Pac more or less about the same on a year-over-year basis. With respect to the EBITDA, I expect the U.S. to be a very good contributor to the fourth quarter. They normally are, and I think that they will do that again. Europe as well, the mix with the seasonality in Q3 does tend to make Q3 a light contributor with respect to EBITDA and so therefore, I think fourth quarter will also be good. With respect to Asia Pac however, they have a history of having a lower fourth quarter and therefore, I think they will. So if we just look at the range against the Q3 actual, certainly, I don't expect the U.S. market and the European market to be certainly less than Q3 and in fact, I think they'll contribute whereas, I do expect Asia Pac to perform as they normally do and be somewhat less than the third quarter during the fourth quarter. 
Operator: [Operator Instructions] And there are no further questions at this time. 
Manuel Marquez: Well, thank you very much for all of you joining us and look forward to report back to you at the end of the year. 
David Kirby: And I'll close the call. Thank you, Manolo, and thank you, all, for joining us today on the Hudson Global third quarter conference call. Our call today has been recorded and will be available later today on the Investors section of our website, hudson.com. Thank you and have a great day. 
Operator: Thank you. This does conclude today's conference call. You may now disconnect.